Operator: Ladies and gentlemen, thank you for standing by and welcome to the Triumph Group Conference Call to discuss our Fiscal Year 2016 Second Quarter Results. This call is being carried live on the Internet. There is also a slide presentation included with the audio portion of the webcast. Please ensure that your pop-up blocker is disabled if you're having trouble viewing the slide presentation. You are currently in a listen-only mode. There will be a question-and-answer session following the introductory comments by management. On behalf of the company, I would now like to read the following statement. Certain statements on this call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve known and unknown risks, uncertainties and factors which may cause Triumph's actual results, performance or achievements to be materially different from any expected future results, performance or achievements expressed or implied in the forward-looking statements. Please note that the company's reconciliation of non-GAAP financial measures to comparable GAAP measures is included in the press release, which can be found on their website at www.triumphgroupinc (sic) [www.triumphgroup.com] (0:58). In addition, please note that this call is the property of Triumph Group, Inc. and may not be recorded, transcribed, or rebroadcast without explicit written approval. At this time, I would like to introduce Richard Ill, the company's President and Chief Executive Officer; and Jeffrey McRae, Chief Financial Officer and Senior Vice President of Triumph Group, Inc. Go ahead, Mr. Ill.
Richard C. Ill - Triumph Group, Inc.: Thank you. Good morning, everybody, and thanks for joining us on the call to discuss our second quarter results. Since returning to the CEO role of Triumph, I had the opportunity to gain a thorough perspective on the organization, both on what we're doing well and the areas which we have much room for improvement. Triumph today is a strong company with a terrific product portfolio that can compete and win at any level of the aerospace supply industry. While there is more to be done to return Triumph to a high level of performance, I am very confident we can get there again. I want to begin with some of the key issues impacting results and how we are addressing them. Cost; we are taking steps to significantly reduce costs and are looking at all means to do so, this begins with investing and strengthening our supply chain capabilities and our sourcing practices and enduring accountability. Plans which have already begun to have an impact on our earnings. The global general economy and the industry dynamics continue to present headwinds for our business. We're seeing softness in the aftermarket in addition to slower commercial rotorcraft and military demand. We are dealing with these external factors including sunsetting programs, and those that have significantly slowed down production in our operations. We've talked before as to the C-17 sunsetting, the 747-8 and the military business has reduced – significantly reduced spending and declining spares and manpower in the military sector, which has effected some of our business. We're well aware of the declining programs in our profile particularly in the Aerostructures business, and we're doing what we can do to have programs in place to replace loss in sales, I'll return to this momentarily. We're taking action to drive results in Aerostructures segment, which has not been performing to expectation and has the greatest room for improvement. We had significant customer facing problems, things such as on-time delivery, some quality and our costs. We've invested in experienced management team. We've hired a Vice President of Business Development, which is helping us solve and address the customer facing issues. All of which is ensuring that we are competitive in the Aerostructures and the Aerospace businesses. Recent acquisitions, we have a long track record of successfully acquiring and integrating company to significantly increase Triumph's capabilities and competitive position, which has been one of our milestones as we've grown our company. We've been pretty clear from – that recent acquisition – some recent acquisitions have not performed up to expectations for a variety of reasons. There is no surprise internally where the issues are coming from. We're in the midst of fixing these problems. I have spoken with each management team on implementing actionable plans to improve execution and performance and reduce our cost. This adds a level of complexity to our tactical and strategic initiatives. We're confident in our ability to right size the portfolio and focus on our key growth drivers. I've had contact with many of our customers and ones that I have not spoken to our new Vice President, Development has, and we have without a doubt confirmed that we are viewed as a company with a significant and diverse product offering that they would like to work with. We had a number of new wins in the fiscal year-to-date and they come up to approximately at this point in time $200 million in annual revenue. These are new wins, as I mentioned, and we have over $1 billion a year in new business proposals in the pipeline at the present time. Updating our tactical initiatives; as mentioned last quarter, we're moving forward on two fronts simultaneously, tactical which is near term in nature; and strategic which is longer term in nature. I'd like to update you all on the progress we're making on a number of tactical initiatives. We have as I mentioned optimizing our internal supply chain and enhancing our supply sourcing practices. We've reduced discretionary spending and capital expenditures, and we're working on and have reduced personnel throughout the organization. These are activities that we should be pushing to get Triumph to where it needs to be as a top tier supplier and competitor. We're confident in fiscal year 2016 revenue and earnings per share guidance as the benefits of these tactical initiatives are realized in the latter half of the year, which we have said consistently from the beginning of the year and we've exhibited that in the past, where our second half of the year is projected to be higher. But I'm also confident that the performance will improve earnings and cost reduction in the second half of the year. During the quarter, we made meaningful progress on improving the supply chain as I mentioned, which should make an intangible impact on fiscal 2017, as inventory turns and current supply agreements expire. We see many opportunities to save cost and enhance our delivery to our customers, but it should be a reasonable expectation to take out about 1% to 2% of our total spend, both direct and indirect of approximately $2 billion. Importantly, we have established a centrally led collaborative supply chain and an operating structure to streamline our operations, which has already identified efficiencies and eliminating redundancies in the organization. This group takes a total company approach to facilitate better decision making and communication across the operating company's supply chains. We've developed specific targets and reporting metrics for supply chain management, and we are holding the team accountable to reaching these goals. We focused on strategic commodity and category management, so we can negotiate standardized longer term and more favorable agreements with key suppliers for benefit – which will benefit the entire enterprise. The bottom line is that we are changing how we do business. We are taking a lean approach to leveraging the resources and the reach of our Triumph enterprise. Strategically, we are making good progress on our footprint reduction efforts. In addition to the four facility consolidations, we have already initiated, this quarter we have identified additional facilities that can be consolidated or materially downsized. We have identified approximately 15% to 18% of our total square footage in the Aerostructures footprint, not including Marshall Street and the Hawthorne facility that can in fact be consolidated. We have also begun to integrate facilities where advantageous for the rapid transfer of work product, these initiatives will take time and will spill over into fiscal 2017 before we can realize the full benefits of what we're doing. We continue to move ahead on the comprehensive business review to identity areas of improvement across all three business segments. While we are focused in particular on finding opportunities in the Aerostructures segment, we continue to evaluate the full portfolio. Turning to our results for the quarter, we reported adjusted earnings as you know by per share of $1.32, and net sales of $955 million, which were in line with our expectations. Triumph – the Aerospace Systems Group and the Aftermarket Services Group sustained strong operating margin despite some decline in sales. Integration of the GE hydraulic actuation business and the NAAS acquisitions continue to progress very well. The results in the Aerostructures segment were consistent with our expectations. Results were impacted by production rate cuts on certain programs about which we've spoken in the past, such as 747-8, C-17, A330 wing program, et cetera. We continue to focus on improving execution and expanding margins. The Gulfstream wing program continued to progress very well, with cash burn much lower than we had expected at this point in time. We're rebalancing our portfolio and continue to evaluate opportunities to enhance competitiveness and profitability of all three business segments. As I mentioned earlier fiscal year-to-date new wins were approximately $735 million over the next one year to five years, and we have approximately $1.2 billion in new business opportunities that we are pursuing, which we expect shortly will be awarded by our customer base. Last week we announced a strategic acquisition of Fairchild Controls Corporation, which positions Triumph as a one stop shop for design solutions. This does a couple of things for us. It reflects our commitment to investing in our business and building new capabilities and balancing the segments. This complements our very strong product portfolio; and in addition – as I turn the page on my notes, as I couldn't get it done – adds approximately $45 million in revenue and – as immediately accretive to earnings. This aligns very well with our existing thermal systems business, and we will be looking at ways to maximize efficiencies between those two companies and others within our portfolio. Another development during the quarter was a five year contract signed with Airbus to provide maintenance and repair service for the A320 and A330 and A340 programs in the Asia Pacific regions. This further strengthens our long-term relationship with Airbus. A quick note on the CEO search process, we remain very pleased as how the search process is going and it's being led by our search firm and the search committee of our board. I am very pleased with the quality candidates we've interviewed and we are committed to finding a strong successor, who can lead Triumph in the future. We are targeting identifying, and this is a reiteration, a new CEO by the end of 2015, which we've said in the past. In the meantime, we have a strong and talented team in place and do not need to wait for a successor to keep moving forward with our strategic and tactical plans. With that, let me turn the call over to Jeff to discuss the results in more detail. Jeff?
Jeffrey L. McRae - Triumph Group, Inc.: Thank you, Rick; and good morning, everyone. Turning to page five of the slides. I'll start with a review of revenue and earnings for our second quarter. Net sales for the second fiscal quarter were $954.8 million, down 4% from the prior-year period, with organic sales declining 12%, primarily reflecting lower deliveries on certain Aerostructures programs. Operating income for the quarter was $110 million, which included approximately $5.4 million of a one-time non-cash charge related to a facility consolidation in the Aerospace Systems Group. Excluding this charge, operating income was $115.4 million, reflecting an operating margin of 12.1%, and net income was $65.1 million, resulting in earnings of $1.32 per diluted share. The number of shares used in computing diluted earnings per share on an adjusted basis for the quarter was 49.3 million shares. Adjusted EBITDA for the quarter was $122.2 million, resulting in a 13.2% adjusted EBITDA margin and includes a reduction to earnings of $17.7 million for the amortization of acquired contracts associated with the Gulfstream G650 and G280 wing programs for which we previously received an upfront cash payment of $160 million. Looking at our segment performance, sales in the Aerostructures segment for the second quarter were $604.9 million, which included revenue of $77.4 million associated with the G650 and G280 programs. Organic sales for the quarter declined 17%, primarily due to lower year-over-year production rates on the 747-8 and A330 programs, and the end of recurring production on the C-17 program, which is partially offset by deliveries of post-production spares on C-17. Second quarter operating income was $67.1 million and included a net unfavorable cumulative catch-up on long-term contracts of $6.8 million. The segment's operating margin for the quarter was 11.1%. Excluding the revenue associated with the 747-8 program, the segment's operating margin for the quarter was 12.4%. Aerostructures adjusted EBITDA for the quarter was $72.2 million at an adjusted EBITDA margin of 12.4%, and included a reduction of $17.7 million for the amortization of the fair value of contracts associated with the Tulsa programs. With respect to the 747-8 program, during the quarter, Boeing announced that they will be transitioning our work scope on the 747-8 program to their Macon, Georgia, facility and other suppliers at the end of our current contract, which at current production rates would be completed in late calendar 2018 to early 2019. The impact is net neutral for us in the short time with no material change in our assumptions related to our forward loss position on this program. We continue to evaluate long term impacts with a potential to finish our contract early, and the timing around potential facility closure risk we had previously identified, much of which will depend on how quickly Boeing can facilitate ramp-up in Macon and elsewhere. We continue to look for ways to mitigate performance risk and drive improvements on the 747-8 program. The next slide shows the cash flow profile of the Gulfstream G650 and G280 wing programs. As Rick mentioned, we continue to be pleased with the performance on these programs in Tulsa, as well as our Nashville facility. Both programs are on schedule from a delivery standpoint and we continue to see improved labor and quality performance. The actual cash burn for the quarter was lower than expected at approximately $16.5 million reflecting favorable performance versus our business case. Our cumulative cash burn since acquisition is now at $48.7 million. We continue to make good progress in transitioning the work currently being performed by Gulfstream in Savannah on the G650 program to our Nashville facility and target to have this effort fully transitioned during fiscal 2017, and we remain confident in turning these programs cash flow positive during fiscal 2018 with $160 million of cash consideration received upfront stay more than sufficient to fund the programs through that period. In regards to our key development programs, we continue to work closely with Bombardier on the development of the wing of the Global 7000/8000, and we are making good progress and believe this will be a very successful program. The announcement of Bombardier of a delay of entry into service for the Global 7000 until the second half of 2018 will impact the timing of certain receipts previously anticipated for fiscal 2016 that are now expected to be received in fiscal 2017. This could be up to a $65 million shift between fiscal 2016 and fiscal 2017. We are also estimating a higher level of spending on our design efforts, which we now anticipate will extend out through mid to late fiscal 2017. Our current estimate of additional spending to complete the design and development activity of between $80 million and $120 million, of which $50 million to $70 million will occur in the second half of fiscal 2016. The Embraer E2 jets program has continued to progress well and we have shipped initial test articles for the fuselage sections, rudder and elevators, and we remain on schedule to complete development efforts in fiscal 2017. We currently project spending to complete the design and development effort of roughly $35 million to $50 million, of which $20 million to $30 million will occur in the second half of fiscal 2016. Overall, on the development programs, we are now projecting $110 million cash flow headwind in fiscal 2016 versus our previous projections, of which $65 million is timing of receipts that will now fall into fiscal 2017. For fiscal 2017, we project the design and development efforts to be roughly cash flow neutral with receipts from customers offsetting the estimated spending. Moving on to our Aerospace Systems segment, sales for the second quarter were $280.2 million compared to $288.9 million in the prior year period, a decrease of 3%, primarily due to lower aftermarket sales, the timing of orders on certain military programs, and slower commercial rotorcraft demand. Aftermarket represented 17.3% of revenue in Aerospace Systems for the current quarter versus 18.8% for the prior year quarter. Second quarter operating income was flat compared to the prior year quarter at $46.1 million, with an operating margin of 16.5%. Excluding the one-time non-cash impact of the facility consolidation, operating income would have been $51.5 million with an operating margin of 18.4%. Adjusted EBITDA for the quarter was $50.4 million, at an adjusted EBITDA margin of 18.6%. As Rick mentioned, the recently announced acquisition of Fairchild Controls broadens our thermal systems offering to customers, and adds to our technical capabilities. In addition with its large global install base of more than 3,500 systems, it provides meaningful proprietary aftermarket opportunities. The business sales mix is approximately 60% military, 40% commercial, with aftermarket representing approximately 27% of revenue. It aligns well with our existing thermal system business and provides opportunities to maximize efficiencies. The business is expected to add approximately $45 million in annual revenue and will be immediately accretive to earnings and cash flow. Continuing with our segment reviews, sales in the Aftermarket Services segment in the second quarter were $73.8 million compared to $74.3 million in the prior year period, a decrease of 1%. Organic sales for the quarter declined 11% primarily due to decreased demand on commercial aircraft. Second quarter operating income was $9.1 million with an operating margin of 12.4%. These results included expenses of approximately $1.1 million associated with a customer bankruptcy. Excluding this charge, operating income would have been $10.2 million with an operating margin of 13.9%. Adjusted EBITDA for the quarter was $11.6 million with an adjusted EBITDA margin of 15.7%. Turning now to backlog. Our order backlog as of September 30 was $4.82 billion, approximately 1% increase year-over-year. For the second quarter, Boeing and Gulfstream were our only customers to exceed 10% of total revenue. Net sales to Boeing commercial, military and space totaled 39.3% of our revenue and Gulfstream represented 13.2% of second quarter fiscal 2016 total sales. For your reference, we have included in the appendix charts reflecting sales by market and sales trends, as well as our top 10 programs by segment based on backlog. Now turning to the balance sheet. We utilized $30.1 million of cash from operations in the quarter, which reflected the continued spend on the Bombardier and Embraer development programs and broader growth in working capital. Some of which was related to the resolution of a supplier dispute, which although resolved favorably did require the payment of outstanding payables that were being withheld pending resolution of the dispute. Although use of cash has been heavy year-to-date, we still expect to generate positive cash flow in the second half of the year as we realize stronger second half earnings, realization of benefits related to our cost saving initiatives, and as we recover the growth in working capital experienced during the first half of the year. Inventory at September 30 reflected an increase during the first half of the fiscal year of $276.2 million, which included approximately $119.6 million attributable to the non-recurring investment in the Bombardier and Embraer programs, $51.5 million from the reduction of advances from customers that we realized in the fourth quarter of fiscal 2015 and $26.5 million in spending on the G650 and G280 programs. In addition, some of the growth we are seeing is associated with build ahead of product in order to facilitate the transfer of work between businesses as part of our strategic initiative. Capital spending was $38.1 million to-date – year-to-date, and net debt at the end of the second quarter was $1.6 billion representing 41% of total capital and total debt to trailing 12 months adjusted EBITDA was 3.4 times. We did not repurchase any shares under our share repurchase authorization or make any voluntary pension contributions during that quarter. The global effective tax rate for the quarter was 34.7% and reflected the fact that the R&D tax credit expired on December 31, 2014 and has not yet been renewed. We expect the global effective tax rate for the fiscal year to be approximately 34%, which does assume that the R&D tax credit is not renewed. From a cash tax perspective, we expect to fully utilize our federal NOL carryforward during the fiscal year, and expect to have a cash tax rate of approximately 8% to 10%. As Rick mentioned, we are holding our revenue guidance of $3.9 billion to $4 billion, and our earnings per share guidance of $5.50 to $5.75 per diluted share. We are lowering our free cash flow guidance to reflect the timing of receipts and higher level of non-recurring spending on the development programs. We are now projecting cash flow available for debt reduction, acquisitions and share repurchase of between $25 million and $50 million. This guidance reflects spending in the second half of the year of between $70 million and $100 million on the key development programs, $30 million to $40 million on the Gulfstream G650 and G280 programs, capital spending of $40 million to $60 million, and a cash tax rate of between 8% and 10%. This guidance does reflect a significant improvement in working capital driven primarily by finalization of certain customer agreements, completing deliveries on certain contracts, timing of projected receipt of open receivables, and restructuring terms with key suppliers. And with that, I'll turn it back over to Rick.
Richard C. Ill - Triumph Group, Inc.: Thank you, Jeff. Just to summarize my comments and a few of Jeff's, the actions that we are taking to centralize and improve supply chain management, reduce our portfolio footprint, or in fact influencing our execution, our margins, and our costs. We aren't seeing all the benefits of our actions immediately, but they are putting us in a much better position from a cost standpoint to drive performance and improve profitability going forward. We now have a strong grasp on the top issues that we are operating – and are operating with a sense of urgency and focus to ensure that our stated plan of being – is being implemented in a thoughtful and precise manner. The Triumph today is a very strong company with a terrific product portfolio that can compete and win at any level of the aerospace supply industry. While we have some ways to get to return to our level of expectations, I am confident that we are on track to get there. With that, I'll open the call to any questions.
Operator: Thank you. . Our first question comes from Sheila Kahyaoglu, please state your affiliation followed by your question.
Sheila K. Kahyaoglu - Jefferies LLC: Hi, good morning. It is Jefferies.
Jeffrey L. McRae - Triumph Group, Inc.: Good morning, Sheila.
Sheila K. Kahyaoglu - Jefferies LLC: Taking a step back a bit, there are a number of external factors that continue to impact Triumph's result, and I guess how is the enterprise now identifying some of these risks on the development programs going forward to regain a bit more control on the cash flow?
Richard C. Ill - Triumph Group, Inc.: Well, we've talked about all the programs and added a few more headwinds in this particular call. The 747-8 is clearly a program that has – one that it's affecting us and has affected us, and to reiterate and be perfectly clear, when we move, when the 747-8 moves out that is a positive issue for Triumph. I have had telephone calls where people said, boy, I'm sorry – I'm really sorry, you lost that 747-8 because that's a big program for you. Well, it is not a profitable program for us, and going forward, it's a good thing for us. Some of the other issues are external factors that we really can't control. Military spending is significantly down, everybody knows that we are in the process of reducing our military from 590,000 military personnel to 330,000 military personnel on the basis of we can be a more mobile military, and at the same time, we're eliminating the plane that flies them around on the C-17. So, those are issues that you know are external factors that we can't do anything about. In addition to that military spending in general especially in the spares area has decreased in the first six months of our year, so we are facing headwinds in that regard, in addition to that the general economy, we don't see the general economy as in fact booming in regards to growth of jobs and growth of programs that we see to quote, and aside from that we are quoting, as we mentioned, a number of new jobs and we feel good about the programs that we are getting bids on and the programs that we've already won. But these are issues that are outside our control and we're putting that aside and we're addressing the operations as we see them that have to be addressed, both from a strategic and tactical point of view.
Jeffrey L. McRae - Triumph Group, Inc.: Sheila, I would also add on the two key development programs. We're obviously working very closely with both of those customers. We still believe those two programs, the Global 7000/8000 and the Embraer E2 jets, will be very successful programs looking forward and obviously with the delay in the Global 7000, we're working closely with Bombardier to ensure we're doing all the right things to support the program and ultimately get a plane in the air and ensure that it meets the requirements that they've put forth and that we ultimately will see a long-term revenue flow from.
Sheila K. Kahyaoglu - Jefferies LLC: Okay, thank you and then I guess just on the 747 point, given the move in fiscal 2018, how would you characterize that cash savings? Is it about $50 million from working capital and maybe some of the clawback?
Jeffrey L. McRae - Triumph Group, Inc.: The cash savings on 747-8?
Sheila K. Kahyaoglu - Jefferies LLC: Yeah, and the moves back to Boeing in fiscal 2018.
Jeffrey L. McRae - Triumph Group, Inc.: Yeah, I mean, the dynamics that we're going to see at the completion of the program, there definitely will be a drawdown of working capital as we finish out our work scope. I would generally say that it is probably mitigated by potential risk, if we make a decision to close those two facilities which we've highlighted before. So, I think, you can probably look at that as generally being a net neutral as we look forward.
Sheila K. Kahyaoglu - Jefferies LLC: Okay. Got it. Thank you.
Operator: Our next question comes from Sam Pearlstein. Please state your affiliation followed by your question.
Samuel J. Pearlstein - Wells Fargo Securities LLC: Wells Fargo.
Richard C. Ill - Triumph Group, Inc.: Good morning, Sam.
Samuel J. Pearlstein - Wells Fargo Securities LLC: Good morning.
Jeffrey L. McRae - Triumph Group, Inc.: Good morning, Sam.
Samuel J. Pearlstein - Wells Fargo Securities LLC: Can you guys talk, first, you highlighted a resolution of a supplier dispute. Can you just kind of add any color and would that have been anticipated in the prior cash flow outlook?
Jeffrey L. McRae - Triumph Group, Inc.: Yes, so we had a dispute with a supplier in one of our key programs that had been ongoing. We had incorporated a certain level of resolution into our projections. Although the resolution was favorable, we did not get as much as we had hoped to and ended up having to refund certain levels of withholdings to the supplier. We had not incorporated that into our fiscal 2016 guidance.
Samuel J. Pearlstein - Wells Fargo Securities LLC: Okay.
Jeffrey L. McRae - Triumph Group, Inc.: So a bit of a headwind.
Samuel J. Pearlstein - Wells Fargo Securities LLC: Okay. I guess what I'm trying to figure out is we know the Global timing shifted from this year to next year, but I'm trying to think about what else is timing and what else is gone forever that you don't recoup next year.
Jeffrey L. McRae - Triumph Group, Inc.: Yes, the biggest element is the roughly $65 million that we have at risk from a timing standpoint of shifting out of 2016 into 2017. The supplier resolution I would depict as a one-time and that would not be repeated. The balance of the lowering is spend that we've seen on the development programs in excess of what we had previously projected.
Samuel J. Pearlstein - Wells Fargo Securities LLC: And is there higher spend, I'm assuming, on the Global, is that because what you have to do has changed? Was there something that was done improperly and is any of that development additional spending kind of changes that get reimbursed in any way?
Jeffrey L. McRae - Triumph Group, Inc.: Yes, Sam, what I would generally say is, we're doing everything to support this program to get a plane in the air. Anytime a development program shifts out to the right, it gives you the great opportunity to spend more money to make sure we're getting everything done. And ultimately there will be certain elements of this that will be commercial discussions with the customer, but at this point in time our focus is getting a plane up in the air.
Samuel J. Pearlstein - Wells Fargo Securities LLC: All right. And then the last question is with this Boeing agreement on the 747, does it change any of the potential $75 million in costs that you've highlighted before?
Jeffrey L. McRae - Triumph Group, Inc.: That's still a risk depending on what we choose to do with those facilities at the end of the contract.
Samuel J. Pearlstein - Wells Fargo Securities LLC: But I mean the amount doesn't change?
Jeffrey L. McRae - Triumph Group, Inc.: No.
Samuel J. Pearlstein - Wells Fargo Securities LLC: Okay, thank you.
Operator: Our next question comes from Cai von Rumohr. Please state your affiliation, followed by your question.
Lucy Guo - Cowen & Co. LLC: Cowen & Co. It's Lucy calling in for Cai. Good morning. So I wanted to follow up on the net design spend or net inventory build for 2016. You said it would be neutral in the Global 7000/8000, E2 in 2017, but can you update us. I think it was previously $80 million to $100 million net build.
Jeffrey L. McRae - Triumph Group, Inc.: Yes, so the net build in the first half of the year has ended up being roughly $119 million. We are projecting additional spend for the second half of the year of roughly $70 million to $100 million, which then also reflects the fact that the payments we had expected to receive have shifted out to the right into fiscal 2017.
Lucy Guo - Cowen & Co. LLC: Right.
Jeffrey L. McRae - Triumph Group, Inc.: Fiscal 2017, we think overall it will be net neutral from a cash flow standpoint, whereas the payments received from customers will offset the projected spend on the development programs.
Lucy Guo - Cowen & Co. LLC: And you gave a great outline of the tactical initiatives and potential tailwinds going forward. Is any of this factored into your guidance for the second half in terms of how much of an estimated cost of restructuring and potential tailwind?
Richard C. Ill - Triumph Group, Inc.: Some of the numbers that – and the guidance that we've given, some of our cost savings has in fact been built into the – especially the higher end of our range. Some of the tactical things will take a little bit longer period of time and flow over into fiscal 2017, and those numbers obviously are not baked into our guidance for this year.
Jeffrey L. McRae - Triumph Group, Inc.: And Lucy, if we had other charges associated with facility closures or things along those lines, we have not factored those into the guidance. We have always said that those are outside of the guidance.
Lucy Guo - Cowen & Co. LLC: Understood. And lastly, and I'll pass it on, is just a follow up on the Boeing 747. From what I've read, there may have been some transference of work also to AVIC in China after the President's visit in Seattle. Has there been any talks between Triumph and AVIC on that?
Jeffrey L. McRae - Triumph Group, Inc.: I think that's probably a question you'd have to pose to Boeing. We're not aware of that.
Lucy Guo - Cowen & Co. LLC: All right. Thanks very much.
Operator: Our next question comes from David Strauss. Please state your affiliation followed by your question.
Matthew C. Akers - UBS Securities LLC: UBS. Hi, it's actually Matt on for David. Good morning.
Jeffrey L. McRae - Triumph Group, Inc.: Hey. Good morning, Matt.
Matthew C. Akers - UBS Securities LLC: Couple others on 747, that work transferring over, I guess how do you think of the revenues stepping down over time? Is it kind of abrupt at the end of the contract or is it more gradual than that? And then I guess, can you give us any guidance on what the cash burn looks like on Boeing 747 over the next couple years?
Jeffrey L. McRae - Triumph Group, Inc.: Yes. So we're still anticipating holding at a production rate of one per month through the balance of the contract. So from a revenue standpoint, it should be relatively flat as we think out through the end of the contract. At the very end, you have a little bit of step down based on delivery of certain elements, but that's the last three to six months where you see that dynamic. From the cash, we're still looking at the same projection. As we thought of the forward loss we took in Q3 of fiscal 2015, two thirds of that cash still relates to roughly the last 23 units that would be delivered in our fiscal 2018 and fiscal 2019. The other one third of the impact is occurring in fiscal 2016 and 2017.
Matthew C. Akers - UBS Securities LLC: Okay, thanks. And then one other one on the contract amortization, looks like it stepped down a little bit this quarter. Are you still kind of on track for the guidance for the full year? I think you said $130 million.
Jeffrey L. McRae - Triumph Group, Inc.: Yes, the guidance hasn't changed for that. The stepdown are just certain programs primarily in Aerostructures that are falling off with the completion of the amortization.
Matthew C. Akers - UBS Securities LLC: Okay. Thanks.
Operator: Our next question comes from Myles Walton. Please state your affiliation followed by your question.
Louis Raffetto - Deutsche Bank Securities, Inc.: Yes, Deutsche Bank. This is actually Lou on for Myles. How are you?
Jeffrey L. McRae - Triumph Group, Inc.: Good.
Louis Raffetto - Deutsche Bank Securities, Inc.: Rick, I know you mentioned the 1% to 2% takeout of the total spend. I think that was in the supply chain. I guess what percent of the total cost savings do you see there versus SG&A and other areas?
Richard C. Ill - Triumph Group, Inc.: Actually on total spend, we're including SG&A. What we've done is we've focused on cost of goods sold and SG&A, and internally we've separated that and put targets on issues and our spend in SG&A and our spend in cost of goods sold. Obviously, there are items that we can't – and the way we presented it to all of our locations and all of our managers has been, there are certain things that we can't do too much about, cost of goods sold, taxes on factories that we have. Generally speaking, we can't do a lot in that area, although we have in the past. But that's an example of it's not in that number, and then basically we're looking at personnel issues, some of which are in cost of goods sold, some of which are in SG&A. So it's a total cost reduction that we're looking at and a combination of both.
Louis Raffetto - Deutsche Bank Securities, Inc.: And how far along is that progress, I guess?
Richard C. Ill - Triumph Group, Inc.: Well, I think that in personnel issues, for example, in a lot of cases when we have to reduce our personnel, there are severance issues we're dealing with. So in the short-term that's an increase in cost and in the long-term it goes away. So I think that we're doing very well in that regard and it's one of the reasons that we have not changed our guidance going forward.
Louis Raffetto - Deutsche Bank Securities, Inc.: Great, thank you. And then just one for you, Jeff. The performance in the aftermarket was sort of probably the weakest we've seen in quite some time. I know you mentioned just demand on commercial aircraft being down. Any additional color?
Jeffrey L. McRae - Triumph Group, Inc.: Yes, the only other earnings dynamic that I mentioned is there was a write-off of $1.1 million related to a specific customer and a pending bankruptcy there. I would say we still believe we'll see recovery in the second half of the year, both top line and from a margin standpoint. It tends to be lumpy on a contract-by-contract basis as far as what we realize from the a margin standpoint and some of the weakness we saw was on contracts that we tend to do a little bit better on.
Louis Raffetto - Deutsche Bank Securities, Inc.: Great. Thank you very much.
Operator: Our next question comes from the line of Ken Herbert. Please state your affiliation followed by your question.
Ken Herbert - Canaccord Genuity, Inc.: Canaccord. Hi, good morning, Rick and Jeff.
Jeffrey L. McRae - Triumph Group, Inc.: Good morning.
Richard C. Ill - Triumph Group, Inc.: Good morning.
Ken Herbert - Canaccord Genuity, Inc.: Just wanted to ask, you talked a few times, Rick, specifically about the military market and the spares market in particular. What's your visibility for the rest of 2016 and into 2017? And do you see specifically on the military spares, do you see that business bottoming anytime soon or do you think this is going to be down again into your fiscal 2017?
Richard C. Ill - Triumph Group, Inc.: Our visibility is in fact limited in that regard. It's the only segment that we have that does not have a backlog. Our backlog is essentially what comes in in the 30 days between we start working on a project and out. So our visibility is in fact less. But our customer base tells us that we should see some sort of a pickup toward the end of the year. And as Jeff just said, that's what we're counting on, and I don't think we'll see further deterioration of our sales in that area for the whole segment. But we don't have a lot of visibility in our commercial and/or our military business that we do in that segment. So what we're doing now is we're estimating that that will increase and that's what our people are telling us.
Ken Herbert - Canaccord Genuity, Inc.: Okay, okay, that's helpful. And it sounds like just broadly you've got – specifically on the cash flow side and then of course as well on the earnings and sale side a recovery factored into the guidance in the second half of the year. What would you identify maybe is the – how well you think that's de-risked? Do you think that there's specifically some other areas that could potentially surprise to the downside or how do you think about for second half risk with what's embedded in the guidance and the recovery that's baked in?
Richard C. Ill - Triumph Group, Inc.: I really don't see any further risks in the marketplace. Again, we fought long and hard about whether we keep our earnings per share guidance the way it is and we feel confident that we're going to reach that. We have some work to do. We have to take more costs out of the business, it's very clear. And while we feel good on the wins that we've had so far, we've never focused before on those wins, but we've had some people say, oh my God, your business is going away. Well it's not. Our business is actually very strong in certain areas and our customer base is speaking to us that they want to grow with us and they need us to succeed also. So there's nothing that I see other than properly executing our taking cost out of the system and properly implementing our tactical issues on the consolidation of locations and reduction of footprint.
Jeffrey L. McRae - Triumph Group, Inc.: Yes, Ken, on the cash side specifically, we're also working on a number of fronts to drive working capital out of the business. And as we think about those initiatives, I think timing ends up being the dynamic that we're going to pay very close attention to. We're very confident in being able to achieve what we put forth, but there is lot of work to do in different agreements with different parties to make sure we get there. And a lot of it then also is ensuring we take the cost out of the business that we're projecting to be able to take the costs – to take out.
Ken Herbert - Canaccord Genuity, Inc.: Yes, okay. To my final question, historically, you've built a company that's tended to give a lot of autonomy and entrepreneurship to the different operating companies. Clearly the supply chain issue, strategic sourcings, other things you're taking more out of a necessity perhaps more of a centralized approach. To what extent are the various Triumph companies on board, what resistance are you facing and how might that impact timing of some of these initiatives you are pushing?
Richard C. Ill - Triumph Group, Inc.: Starting with your last question, I don't think it's going to change any of our timing in regards to our initiatives. What we are attempting to do is maintain the entrepreneurial spirit within the company, at the same time maintaining the accountability at the local level, but in many cases such as supply chain and some others, the individual locations have been slow to realize that there are centralized, to use that word, issues that we can deal with going forward that will take cost out of the system and do a better job of taking advantage of being part of a larger company and that's exactly what we are trying to accomplish. Do the individual locations like everything that we push down? That would be very naïve to think that that would be the case, but I think we are overcoming that. I think that our people realize the necessity to change some of the thinking, think more on a lean basis and take cost out of the system and they realize that has to be done.
Ken Herbert - Canaccord Genuity, Inc.: All right, well thank you very much.
Operator: Our next question comes from Michael Ciarmoli. Please state your affiliation followed by your question.
Michael F. Ciarmoli - KeyBanc Capital Markets, Inc.: KeyBanc Capital Markets. Thanks and good morning, guys.
Richard C. Ill - Triumph Group, Inc.: Good morning.
Jeffrey L. McRae - Triumph Group, Inc.: Good morning.
Michael F. Ciarmoli - KeyBanc Capital Markets, Inc.: Maybe just to stay on the line of questioning that Ken was on there, looking at that, that second half, sort of acceleration to maybe meet your guidance. You talked about the end marketplace Rick, but what about internally, I mean you guys clearly got a lot of balls up in the air, cutting head count, cutting facilities, is there any risk of sort of an internal disruption as is usually created when these things take place, you know where you might not kind of forecast or see some internal disruption coming and that being a threat to the forecast at all?
Richard C. Ill - Triumph Group, Inc.: The only way I know how to answer that question is I don't see that. Is there a challenge that some of the costs that we are projecting and we've met with every single company president within our organization and they have made presentations on how much cost they will take out of their companies and the Vice Presidents on the senior level within the corporation have done the same thing and we're in the process of pushing some more savings in certain areas. We've talked to some of our suppliers outside of the commodity suppliers to reduce costs. And I think that – will that cause some disruption? It will cause some challenges within the organization, I don't think it will cause any issues in regards to them taking their eye off the ball and accomplishing what they have to accomplish. I mean it's always a tough issue, I am not belittling the challenge, but I don't think it's going to disrupt the organization in doing what we have to do and that's serving the customer and getting the job done.
Michael F. Ciarmoli - KeyBanc Capital Markets, Inc.: Okay, fair enough. And then just on – you are obviously making a lot of changes as well; you just made the acquisition of Fairchild. What changes on your integration process as you go through future acquisitions? It's I guess become clear that there's a lot of overhead and room for facility reduction, head count. So did you do anything differently as you look to integrate Fairchild here?
Richard C. Ill - Triumph Group, Inc.: I don't think we will do anything differently. I think that as I referred to in some of my remarks, Fairchild is a perfect example of a bolt-on acquisition, in that we are already in the thermal business and I think that the synergies and things that we can do together with those two companies will be significant. We have said before in regards to acquisitions that we are not going to make a lot of acquisitions and the acquisitions that will be made will be relatively small in nature and of a bolt-on nature going forward. And we are looking at no large acquisitions and very few even smaller acquisitions until we achieve what we want to achieve tactically and strategically.
Michael F. Ciarmoli - KeyBanc Capital Markets, Inc.: Got it. And then the last one I had, earlier in your prepared remarks, you talked about some recent acquisitions, the track record, but you also talked about deals that haven't worked; you fixed issues or you are fixing issues. Can you just elaborate there? I mean it sounded like with some of the recent deals, whether it's GE or Goodrich, the Pump & Control business, they have all been going well. Can you sort of just spell out which acquisitions have caused problems and maybe what those issues are?
Richard C. Ill - Triumph Group, Inc.: Well, it's clearly much easier to talk about the acquisitions that have been very successful and the reason that we've called out the GE acquisition, the Goodrich acquisition and things like that because it would be – they have been very, very positive and I think we wanted to make everybody very aware of the fact that those have been very good acquisitions for the company. We've had a few relatively smaller companies made in the last couple of years that have been less successful than we had projected. We do have – we are making some major changes on moving product, for example, from a company that we acquired in England and we are moving product to low cost production and that will take place over the next probably a year or a little more than a year to get that fully in place and become as profitable as we expect it to be. Right now, we're in the negative end of income in that area and that's a concern to us, and there were issues that were some minute and some major issues that happened in that acquisition that we are still working on. I don't necessarily want to get into every little issue there, but what I was trying to do in those remarks is come up and say where we've had some problems, customer facing issues and hiring a new senior manager there and some of the acquisitions that haven't done well.
Michael F. Ciarmoli - KeyBanc Capital Markets, Inc.: So, that's helpful. Thank you very much.
Richard C. Ill - Triumph Group, Inc.: Most of them have done very well.
Michael F. Ciarmoli - KeyBanc Capital Markets, Inc.: Got it. Thanks, guys.
Operator: Our next question comes from Steven Cahall. Please state your affiliation followed by your question.
Steven L. Cahall - RBC Capital Markets LLC: Thanks good morning, Royal Bank of Canada. Maybe first just a follow-up on the development spending. So if we take what you said on FY 2017 and we take that receipt and net it out of the neutral, is that kind of what we can think of as development spending going forward, or is there somewhere that it makes a step change kind of up or down based on where either you see Global or E2 moving?
Richard C. Ill - Triumph Group, Inc.: No, we're looking at completing development on both of those programs in fiscal 2017, Steve.
Steven L. Cahall - RBC Capital Markets LLC: So that goes to then pretty low run rate?
Richard C. Ill - Triumph Group, Inc.: Yeah.
Steven L. Cahall - RBC Capital Markets LLC: Close to zero after that?
Richard C. Ill - Triumph Group, Inc.: Correct.
Steven L. Cahall - RBC Capital Markets LLC: Okay. And then kind of stepping back on the cash flow picture overall, do you have a sense of maybe excluding Gulfstream, where you think free cash flow bottoms for the entire group? Are we there this year or do you think it's going to be in a future year?
Jeffrey L. McRae - Triumph Group, Inc.: Yeah, I think, I mean, we're not going to guide towards future cash at this point in time. But we've tried to call out those elements that that will still impact what ultimately should be a run rate, it really is, as you mentioned. The spend we'll see in fiscal 2017 on the G650 and G280. It's the negative cash that we've talked to on 747 that we still have in front of us. You are then really dealing with increasing from a cash tax perspective and what we choose to do around funding the pension plan. But beyond those elements, I think you could start thinking of getting closer to what should be a run rate expectation from cash.
Steven L. Cahall - RBC Capital Markets LLC: Okay. And then on 777, Boeing announced on its earnings call that it would consider a rate as seven a month. How significant would that be as a negative for you all maybe in terms of cash or EPS impact?
Jeffrey L. McRae - Triumph Group, Inc.: Yes, I mean we're at a rate of 8.3 a month right now, I mean what we see and everything we've heard from Boeing is we don't see a risk in the near time of a rate reduction, we think it's still ways out. The one dynamic we have on 777 when we get out into late fiscal 2017, fiscal 2018, is we do end up picking up additional share on the products we produce in Aerostructures, so as where we are dual source today, an agreement we made going back to last year with Boeing converts us to the sole source on those products that we think would at a minimum offset any rate reduction risk and potentially drive a little additional revenue for us. So I mean from a cash earning standpoint, I don't think there's a significant level of risk if Boeing chooses to reduce rate out a couple of years.
Steven L. Cahall - RBC Capital Markets LLC: Okay, and then a final question, I didn't see anything in the release on share repurchase, I'm guessing you didn't repurchase any shares in the quarter. If you look at the value of your stock price today, maybe vis-à-vis future bolt-on acquisitions, how do we think about what you might do on the share repurchase front, and then if you could maybe just also remind us of any upcoming significant debt pay downs that you got, kind of help us think about cash deployment versus debt reduction?
Jeffrey L. McRae - Triumph Group, Inc.: Yeah, on the latter half of that question, the only debt pay down that we have in front of us still is just the pay down on the term loan. We have no debt coming due in the next couple of years. Our credit facility comes due in 2018. So, nothing significant there. On share repurchase, as we've consistently said, we're going to continue to be balanced in our approach to capital deployments. It's going to be balanced with ensuring our balance sheet is maintained at a level we're comfortable with. The last couple of quarters, the leverage within the business due to the cash use we've seen, it has been higher than where we would like it to be and we're going to continue to evaluate all those factors. I mean, we built into our plan a certain level of share repurchase and we're continuing to evaluate it.
Steven L. Cahall - RBC Capital Markets LLC: All right, thank you.
Operator: Our next question comes from the Steve Levenson. Please state your affiliation followed by your question.
Stephen E. Levenson - Stifel, Nicolaus & Co., Inc.: From Stifel. Thank you. Good morning Rick and Jeff.
Jeffrey L. McRae - Triumph Group, Inc.: Good morning.
Richard C. Ill - Triumph Group, Inc.: Good morning, Steve.
Stephen E. Levenson - Stifel, Nicolaus & Co., Inc.: I think you mentioned in your comments that you might complete the 747 program early and I'm guessing you're looking forward to that, but would that be because you build out the last units early to help Boeing with the transition or is that because they don't have all the units you have under contract in backlog yet?
Richard C. Ill - Triumph Group, Inc.: That's a question really you're going to have to ask Boeing because they're the ones that have chosen where they're going to move it. They've announced that they're going to move it to Macon. We have a hard time answering that question, because we're not familiar with the total customer base in that regard, the Russian Airlines have recently filed for bankruptcy and they had some of those aircraft in there and we really don't know what's going to happen in that regard. So it's really more of a Boeing issue than it is a Triumph issue.
Jeffrey L. McRae - Triumph Group, Inc.: Yeah, this is probably one that there's a little bit of hope they don't sell all those planes we have under contract, Steve.
Stephen E. Levenson - Stifel, Nicolaus & Co., Inc.: Okay, do they still have to pay you for those units then?
Jeffrey L. McRae - Triumph Group, Inc.: No, but what it does for us if they don't sell all those units is we don't spend the money and incur the losses associated with them which, if we didn't have to build all of the units that gives us the opportunity to recoup some of the forward loss we took. The other dynamic is trying to work with Boeing to see if we can build ahead, if they do sell all those aircraft and that creating some potential benefit for us if we can get out of the production earlier than what we're currently projecting.
Stephen E. Levenson - Stifel, Nicolaus & Co., Inc.: Okay, thank you. And then one on 777-X, are you in the hunt there for increased content or things changing that could keep you out of competition there?
Jeffrey L. McRae - Triumph Group, Inc.: No, I mean, we're continuing to pursue a number of different pieces on 777-X. I mean, we knew based on Boeing decisions of pulling some work in-house that we would have some impacts on the structure side of our business where they've made some decisions that will have some impact on our content and structures. At the same time, we're seeing other opportunities Boeing is presenting to us that could more than offset some of the losses we're seeing.
Stephen E. Levenson - Stifel, Nicolaus & Co., Inc.: Got it, thank you very much.
Operator: Are there any additional questions? Since there are no further questions, this concludes the Triumph Group's fiscal 2016 second quarter earnings conference call. This call will be available for replay after 11:30 A.M. today through November 4, 2015 at 11:59 P.M. You may access the replay by dialing 888-266-2081 and entering access code 1664229. Thank you all for participating, and have a nice day. All parties may now disconnect.